Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Wheaton Precious Metals' 2024 fourth quarter and full year results conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star then the number one on your telephone keypad. If you would like to Thank you. I would like to remind everyone that this conference call is being recorded on Friday, March 14, 2025, at 11:00 AM Eastern Time. I will now turn the conference over to Ms. Emma Murray, Vice President of Investor Relations. Thank you. Please go ahead.
Emma Murray: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Wheaton Precious Metals' President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; Haytham Hodaly, Senior Vice President, Corporate Development; and Wes Carson, Vice President, Mining Operations. Please note, for those not currently on the webcast, a slide presentation accompanying this conference call is available in PDF format on the presentations page of our website. Some of the commentary in today's call may contain forward-looking statements. I would direct everyone to review slide two of the presentation for more details. It should be noted that all figures referred to on today's call are in US dollars unless otherwise noted. With that, I'd like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Emma, and good morning, everyone. Thank you for joining us today as we review Wheaton's fourth quarter and full year results for 2024. Driven by our diversified portfolio of high-quality and long-life assets, I am very pleased to report that Wheaton achieved record revenue, adjusted net earnings, and operating cash flows in 2024. We realized annual production of 635,000 gold equivalent ounces, exceeding the top end of our production guidance for the year. The strength of our fourth quarter results was underscored by record quarterly production from Salobo, resulting in record overall gold production for the year. In 2024, Wheaton remained focused on reinforcing our industry-leading growth profile by acquiring four new investments. Haytham will provide further details on these recent acquisitions, which include a gold stream on Montage Gold's Kone project, the largest streaming transaction completed by a single streamer in the past decade. Each of these investments further enhances and diversifies our portfolio by expanding our geographic presence and strengthening our strategic partnerships. We are excited to welcome our new mining partners, and we look forward to supporting them in advancing these projects. Wheaton's estimated growth profile is unmatched in our sector. This impressive growth is readily apparent in our five-year production forecast, where we estimate annual production increasing by 40% to 870,000 gold equivalent ounces by 2029. Along with organic growth from our existing operations, we expect to see inaugural production from nine different assets in the next five years, all of which have received their key permits and are either nearing or already well into construction. In 2025 alone, several development projects are currently expected to begin production, including Artemis Gold's Blackwater project, which has already made its first gold pour in late January; B2Gold's Goose project in Nunavut; Waterton's Mineral Park project in Arizona; and Ivanhoe's Platreef project in South Africa. To further demonstrate our confidence in Wheaton's growth profile, we are pleased to announce a 6.5% increase to our quarterly dividend. We are proud that Wheaton's payout ratio continues to be a leader in the precious metals sector. We are also proud to be one of only two resource-focused companies to be recognized by Corporate Knights as one of the 2025 Global 100 Most Sustainable Corporations and to be the only streaming company upgraded to a triple-A ESG rating by MSCI. These accolades reflect our commitment to support responsible operations across all areas of our business and underscore the quality of the mining partners that we collaborate with. I would also like to mention that last week, we announced the winner of our inaugural Future of Mining Challenge. Wheaton, with the assistance of Foresight, launched this challenge in September of 2024 to support the mining industry's important goal of delivering essential commodities and materials in a more efficient and sustainable manner. The 2025 winner is Rethink Milling, whose innovative grinding technology demonstrates immense potential to significantly lower energy consumption, leading to reduced emissions and operating costs and ultimately improve operational efficiencies. Stay tuned for our 2026 Future of Mining Challenge. And with that, I will now hand the call over to Wes Carson, our Vice President of Operations, who will provide a more in-depth look at our operating results. Wes?
Wesley Carson: Thanks, Randy. Good morning. Overall production in the fourth quarter came in higher than expected, driven by strong outperformance at Salobo, Constancia, and Penasquito, further highlighting the strength of these significant assets in our diversified high-quality portfolio. In the fourth quarter of 2024, Salobo produced 84,000 ounces of attributable gold, representing record quarterly production, an increase of approximately 17% relative to the fourth quarter of 2023, driven by higher throughput as the ramp-up of the Salobo III expansion continued, as well as higher gold grades and recoveries. On January 28, 2025, Vale announced the completion of the Salobo III ramp-up, continuing improvements in performance at both Salobo I and II. On March 4, 2025, Vale informed Wheaton that it has achieved a sustained throughput capacity of over 35 million tons per annum over a 90-day period, indicating the completion of the second phase of the Salobo III expansion project. Following a review of the final completion test, Wheaton anticipates advancing the remaining $144 million of payment. 970,000 ounces of attributable silver and 18,200 ounces of attributable gold, an increase of approximately 16% for silver production and a decrease of approximately 18% from the fourth quarter of 2023. The increase in silver production, which represents a quarterly record, was primarily due to higher grades. The reduced gold production was the result of lower gold grades as more material was mined from the Constancia Pit and reclaimed from stockpile compared with the previous year. The decrease in gold grade was partially offset by higher throughput. Hudbay announced that gold production in 2025 is expected to be lower than 2024 levels due to additional high-grade gold benches in Pampacancha, which were mined ahead of schedule in late 2024 instead of 2025 as originally planned. The Pampacancha deposit, containing relatively higher gold grades, is expected to be depleted in early December 2025. In the fourth quarter of 2024, Penasquito produced over 2.4 million ounces of attributable silver, an increase of approximately 138% relative to the fourth quarter of 2023, as prior year operations were impacted by a four-month-long labor strike. Newmont has indicated that in 2025, coproduct production is expected to decline as mining transitions from the Chile Colorado pit back to the Penasco pit, which contains relatively lower silver grades. On January 22, 2025, Artemis announced the commissioning of the grinding circuit at the Blackwater project had advanced, and milling of first ore had commenced, with the first pour of gold and silver being announced on January 29, 2025. Commercial production remains targeted for Q2 of 2025. Also during the quarter, Waterton's Origin Mining continued to advance their Mineral Park project, with the installation of new crushing and milling circuits nearing completion. Construction continues to progress on track, with first ore to the mill expected in Q2 of 2025, followed by the anticipated ramp-up to commercial production during the second half of the year. Due to strong performance in the fourth quarter, we exceeded the upper limit of its annual production guidance in 2024, surpassing the midpoint of the guidance range by approximately 9%. The company anticipates that 2025 GEO production will continue to grow from levels achieved in the previous year. This forecast growth is driven by expected stronger attributable production from Antamina, the anticipated start-up of several development projects, including Blackwater, Goose, Mineral Park, and Platreef, and a stable forecast for Salobo production. Attributable production is projected to increase at Antamina in 2025 due to expected higher silver grades caused by a higher ratio of copper-zinc ore versus copper-only ore mined in 2025. Attributable production is forecast to be consistent at Salobo in 2025, with slightly lower grades as per the mine plan, offset by increasing throughput at Salobo I, II, and III. We continue to see an improvement in plant availability and overall utilization, complemented by a best-in-class preventative maintenance culture that has been implemented consistently across the entire site. Increased production from the aforementioned assets is anticipated to be partially offset by lower Wheaton's attributable production in 2025 is forecasted to be 350,000 to 390,000 ounces of gold, 20.5 million to 22.5 million ounces of silver, and 12,500 to 13,500 ounces of GEOs of other metals, resulting in total production of approximately 600,000 to 670,000 GEOs. Production is forecast to increase at an industry-leading rate of approximately 40% over the next five years to 870,000 GEOs by 2029, primarily due to expected growth from operating assets, including Antamina and Marmato, development assets, including Blackwater, Platreef, and the Kone project. From 2030 to 2034, attributable production is forecast at an average of over 950,000 GEOs in the five-year period and incorporates expected additional incremental production from pre-development assets, including San Dimas and Congrejos. That concludes the operations review. And with that, I will turn the call over one last time to Gary. Thanks, Wes. As described by Wes, production in the fourth quarter to 187,000 GEOs, a 14% increase relative to the fourth quarter of 2023, primarily the result of higher production from Salobo and Penasquito, with Salobo achieving record sales volumes amounted to 143,000 GEOs, a decrease of 8% relative to the fourth quarter of 2023, with the higher production being offset by a 40% increase in the number of GEOs produced but not yet delivered, or PBND. Strong commodity prices coupled with our solid production base resulted in record quarterly revenue of $381 million and a gross margin of $247 million, an increase over the comparable period of the prior year of 21% and 40%, respectively. Of this revenue, 62% was attributable to gold, 35% to silver, 1% to palladium, and 2% to cobalt. As of December 31, 2024, 164,000 GEOs were in PBND, representing approximately 2.9 months of payable production, an increase from the preceding quarter and at the upper end of our expected range of two to three months. This was due to a significant increase in quarter-over-quarter production, driven by increased production by Penasquito coupled with record quarterly production at Salobo, with this incremental production expected to be delivered in the first quarter of 2025. G&A expenses amounted to $10.5 million for the fourth quarter of 2024, and total G&A for the year amounted to $40.7 million, being at the lower end of the original forecasted range. For 2025, the company expects that G&A expenses will amount to $50 million to $55 million, with the increase largely resulting from costs associated with the inaugural Future of Mining Challenge, coupled with the expiring ATM program. In the fourth quarter, Wheaton recognized an impairment charge of $109 million relative to the Voisey's Bay CMPA due to the sustained decline in market cobalt prices. As reflecting the impairment charge, net earnings amounted to $88 million, with a $35 million global minimum tax expense being reflected in the quarter. Adjusted net earnings amounted to $199 million, representing a quarterly record for the company, with the $34 million increase from the prior year due primarily to the higher gross margin. Adjusted earnings per share amounted to $0.44 per share, an increase of 21% over the comparable period of the prior year. Revenue for 2024 increased 26% to approximately $1.3 billion, representing a record for the company, with the increase being primarily due to a 20% increase in realized commodity prices coupled with a 5% increase in sales volumes. Of this revenue, 99% was derived from precious metals, with 62% attributable to gold, 36% to silver, 1% to palladium, and 1% to cobalt. Gross margin for 2024 increased by $229 million to $803 million. After negating the items that are nonrecurring in nature, including the effect of the $109 million impairment charge on the Voisey's Bay Cobalt Stream, adjusted net earnings increased by 20% to an annual record of $640 million. Despite the persistent inflationary environment, we can continue to deliver robust cash operating margins in the fourth quarter, resulting in record quarterly cash flow from operations of $319 million, an increase of over 30% relative to the fourth quarter of 2023, and paid a dividend of 15.5 cents per share, an increase of over 3% relative to the prior year. During the quarter, Wheaton made total upfront cash payments of approximately $115 million relative to mineral stream interest, including $44 million relative to Marmato, $40 million relative to Marmato, $25 million relative to Mineral Park, and $6 million relative to Congrejos. Offsetting these outflows was a temporary repayment of the upfront cash payment of $13 million relative to El Domo. This repayment, which will be re-advanced in the future, was made by Silvercorp in order to stop the accrual of delay ounces owed to Wheaton. In addition, the company made dividend payments totaling $70 million. Overall net cash inflows amounted to $124 million in the fourth quarter, resulting in cash and cash equivalents at December 31 of $818 million. This cash balance, combined with the fully undrawn $2 billion revolving credit facility and the strength of our forecasted operating cash flows, positions the company exceptionally well to satisfy its funding commitments and provides us with the financial flexibility to acquire additional accretive mineral stream interests. Given the strength of Wheaton's balance sheet and forecast cash flows, the company has elected to not renew its at-the-market equity program, under which no shares have been issued. As mentioned by Randy, the board has declared a dividend of 16.5 cents per share, a 6.5% increase from the dividend of the prior quarter, payable to shareholders of record on April 1, 2025. After declaring record levels of dividends in 2024, the company has now returned over $2.3 billion in dividends to investors since inception, which notably represents over 60% of the amount of equity ever raised by the company. That concludes the financial summary. And with that, I will turn the call over to Haytham. Thank you, Gary.
Haytham Hodaly: Following the record number of deals that we announced in 2023, the corporate development team saw yet another busy year in 2024, committing $910 million on four precious metals transactions, resulting in the addition of multiple top-tier assets, further adding to our already impressive development project pipeline. I presented the details of our stream with Montage Gold relative to the Kone project on our last quarterly call, the largest streaming transaction by a single streamer in nearly a decade. Since then, Montage has announced that construction had commenced and that significant progress is being made to rapidly advance and de-risk the project, which remains on track to meet the expected first gold pour in mid-2027. Once fully ramped up, Kone is forecast to become our second-largest gold-producing asset for its first five years of production and third-largest producing asset overall. Additionally, in December, we announced the transaction with Allied Gold Corporation in respect of the Kermuk gold project located in Ethiopia. Kermuk is a fully permitted, high-quality development project that we believe offers significant exploration potential. Kermuk is set to be the first commercial gold mine in Ethiopia and is supported by a team who has a proven operating track record. Attributable gold production is forecast to average over 16,000 ounces of gold per year for the first ten years of production, and Wheaton anticipates receiving ounces in the second half of 2026. Only a few weeks ago, Allied announced a strategic partnership with UAE-based Ambrosia Investment Holding to crystallize value on a portion of its Sadiola mine. In addition to participation in a private placement, which when combined generated proceeds of over $500 million, Allied has indicated that these proceeds will be used in part for the further development of Kermuk, providing crucial financing and further de-risking the project. We are excited to partner with the Allied team, who has a strong operational background, and look forward to supporting them along Kermuk's path to production. Lastly, subsequent to the quarter, we announced an amendment to the Blackwater Precious Metals purchase agreement, whereby the amount of payable silver received by Wheaton will now be determined based on a fixed ratio of silver to gold ounces rather than fixed recoveries. This amendment presents a win-win solution for both Wheaton and our partner, accelerating the receipt of payable ounces to Wheaton, while the additional $30 million payment is expected to fully fund Artemis as they enter the final stages of ramping up. Commercial production is anticipated for the second quarter of 2025. With that, I will hand the call back over to Randy.
Randy Smallwood: Thank you, Haytham. And thank you, Gary, for the integral role that you have played in the last seventeen years. Many of you already know that Gary will be stepping down as the CFO at the end of this month. Gary's legacy will be marked by a strong financial foundation, a culture of excellence, and a focus on sustainable growth. I am immensely grateful for his contribution, and I think I speak for the entire Wheaton team and stakeholders in wishing him all the best in this next chapter of his life. Thank you. In summary, 2024 was a very strong year for Wheaton, distinguished by several key highlights. Production of 635,000 gold equivalent ounces, we exceeded our annual guidance, generating record cash flows of over $1 billion and distributing record dividends of over $280 million. Our pipeline of development projects was further de-risked by construction advancements and the receipt of various key permits by our partners, further strengthening our impressive organic growth profile of over 40% in the next five years. We continued to grow our asset base with the addition of four new acquisitions this year, adding further diversification by commodity, operator, region, and development stage. Our balance sheet remains one of the strongest in the industry, providing ample capacity to continue adding accretive high-quality streams into our portfolio. We declared a record level of dividends in 2024, and after raising our 2025 annual dividend, we'll continue to provide one of the highest dividend payout ratios in the sector. And lastly, we continue to demonstrate leadership in sustainability with sector-leading ESG ratings and external recognition. So with that, I would like to open up the call for questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. Should you wish to cancel the request, please press star or four by the two. If you're using a speakerphone, please lift the handset before pressing any keys. Moment please for your first question. Thank you. And your first question comes from the line of Lawson Winder from Bank of America Securities. Please go ahead.
Lawson Winder: Yeah. Thank you very much, operator. And hello, Randy and team. Congratulations on a fantastic 2024. And then also, Gary, to you, congratulations on a fantastic career at Wheaton and all the best going forward. Guys, I just wanted to start off on the dividend. I think the market's been pretty impressed with the increase that you guys have demonstrated with the announcement last night. But I mean, the payout based on your operating free cash flow in 2024 is a little bit lower than the sort of twenty to thirty percent range that you talked about in the past. Is there a thought to maybe push that a little bit higher going forward?
Randy Smallwood: Lawson, it's Randy. Thanks for calling in. It really comes down to the opportunity set that we see in front of us. Right? We want to maintain a healthy balance sheet to take advantage of what we see is still a relatively strong opportunity set in front of us. And so, you know, I wouldn't call I mean, I think it really comes down to how strong that balance sheet is and how much we've got in terms of commitments coming down the pipe and finding that right balance. And so, you know, if you see us with an even stronger cash balance and, you know, factoring in, of course, commitments that we have, we do have quite a bit of construction going on over the next while, so we'll be co-funding with the operators to get these assets up and running. It really comes down to just making sure that we have that capacity to take advantage of the opportunities. At the same time, knowing that we want to keep committing to that progressive dividend. And so, you know, I think moving it up at the rate we did this year allows us to do that. We have some commitments coming up this year. I know Haytham's got a long list of opportunities out there in terms of helping fund projects coming in and adding to our growth profile even more. And so it's really coming down to that balance. And, you know, I would say that the best way to sort of estimate that is to look at how much cash we have on hand during the third or fourth quarter, and that's going to be a real good indicator of what we're going to do the following year. And at this time, we felt we had that extra capacity this year.
Lawson Winder: Okay. Yeah. That's really helpful context. And just, you know, thinking about that capital deployment, in the pipeline, and we often talk about the size of the deal and the type of deal, but, I mean, if you just look at the total deal, like, could you see the possibility of deploying the same amount of capital in 2025 as 2024? Yeah. So thinking about that way. And then thinking about that in terms of the contractual obligations, so you guys have disclosed about $882 million in contractual obligations. To what extent does that influence how much you feel you could deploy in 2025?
Haytham Hodaly: Sure. Maybe I'll take that question, Lawson. Good morning. Just with regards to how much we could potentially deploy in 2025, let me go back and give you a little bit of history. Over the last, I'd say, ten plus years, on average, we've deployed over $800 million a year. And that's not that's on accretive high-quality transactions. We continue to see in our current profile opportunities that range anywhere from $100 million to, you know, up to as much as $400 million. There is the odd one that is somewhere between $500 million and a billion dollars. So we do see an opportunity to continue to deploy a lot of capital. That being said, we're only going to do it in a very accretive manner and very, I would say, manner similar to what we've actually done in the past. We're not trying to do every deal. We're trying to do the best deals, and we're trying to do it with the best price.
Randy Smallwood: Lawson, I would add, you know, currently what we're seeing is a lot of investment in the gold space. You know, clearly having gold break through $3,000 earlier today, you know, it's a very strong gold market, and we're seeing a lot of investments in that. So most of the transactions we're looking at right now are gold streams on gold assets. The copper market will wake up sometime. You know, there's just when you start looking at long-term demand, and what we what we've typically seen is that copper is a much more capital-intensive space, and there's a much higher need for copper. So, you know, in the gold space, we tend to see, you know, three, five, maybe hundred million dollar deals. As we've shown. But, boy, you know, when you start getting into the copper space, that's when you start seeing the billion-dollar plus. And so, you know, we have to make sure that we're prepared for that when that copper market does, when we start seeing some reinvestment into the copper space.
Lawson Winder: Okay. That's helpful. And then just maybe just a bit of a modeling detail question on the total contractual obligations for 2025. How much of that $882 million do you expect to deploy in this quarter? Oh, and what are the kind of the moving parts driving that?
Randy Smallwood: Well, this quarter is just about done. So in terms of the first quarter itself. I mean, you know, clearly, Salobo, Vale's been successful in terms of satisfying the second phase, so that payment will be made shortly. I'm not sure the actual day whether it falls into this quarter or not, but we're going through the process of getting that done. They've definitely satisfied that. So, you know, that's going to be the first one. We've got active construction on all the other projects and stuff. I don't know if we've got a total breakdown, but yeah, I'd have to say it's I mean, I would say it's pretty evenly spread over the entire year. And so if you're looking at that, it's probably a couple of hundred million, maybe a little bit more heavily weighted to the front end just with that $144 million payment towards Vale. I mean, that's big. The big one's going to be Kone, which I think is going to be more back-end weighted. But, you know, at the end of the day, you know, with $144 million going out, you know, over the next thirty days, you know, it's as Randy said, it's probably going to be pretty stratified across the four quarters.
Lawson Winder: Fantastic. Again, great quarter, guys. Thanks for taking the questions.
Randy Smallwood: Thank you, Lawson.
Operator: Thank you. And your next question comes from the line of Tanya Jakusconek from Scotiabank. Please go ahead.
Tanya Jakusconek: Oh, great. Yeah. Good morning. Yeah. Thank you very much for the questions. And, Gary, good luck on your next adventure.
Gary Brown: Thanks, Tanya.
Tanya Jakusconek: Yeah. Just wanted to turn back to some modeling questions if I could. Thank you for the color on the outflows of the commitments. Maybe just as I think about the year and assuming, you know, obviously, commodity prices stay flat, which they don't, but you do your production-based pricing anyways. I know that we have the new mine contributing about that twenty to twenty-five thousand GEOs towards the latter part of the year. How should we think about, you know, the first half or the second half? Is it forty-seven forty-eight two? Like, how should I I would think it's about forty-five fifty-five.
Randy Smallwood: Forty-five in the front half, fifty-five in the back half. You know, again, you know, mine start-up is challenging in terms of picking production levels and how fast you can ramp up. You know, you kinda test the system. And if it works, you test it a little bit more. And if it works, you test it a little bit more. Have to step back a bit. Right? So it's always a tricky process. And so it's always tough to sort of pick off that. So you know, I would definitely say we will definitely see a bias towards the latter half of the year in terms of production. But, you know, I would characterize it about forty-five percent upfront and fifty-five percent in the second half.
Tanya Jakusconek: Mhmm. And besides you, coming in, Randy, what other operation within your portfolio has a seasonality to it that I should be aware of or any downtime?
Randy Smallwood: I'll let Wes talk to that.
Wesley Carson: Sure. The main one, Tanya, is Salobo. And Salobo does have a rainy season generally in the first quarter. So we do see slightly lower production from Salobo in that, and then that ramps up through the year. That being said, over the last couple of years, they've done quite well. They installed a new pumping system in the bottom of the pit a couple of years ago, and that really has mitigated a lot of the challenges they had previously around that season. Most of our other operations are not really seasonally affected, though. Salobo would be the large single one for sure.
Tanya Jakusconek: Okay. Then Wes, do you have any grade differential in the second half or any maintenance downtime for the first or second half?
Wesley Carson: Nothing out of the ordinary. No. It's pretty standard across the year and everything. We don't have the major we in the last couple of years, we've had some fluctuations on, say, Constancia with Pampacancha kinda coming in and out. That's reasonably flat across the year. And, really, Penasquito will be the same there in Penasco for most of the year. So no significant changes kind of over the year. It really is those operations coming on in the latter part of the year that makes a difference.
Tanya Jakusconek: Okay. That's very helpful. And I guess I should add the D&A. But is that a hopeful ask?
Randy Smallwood: Sorry. Your line is kinda can you just repeat that question?
Tanya Jakusconek: Oh, sorry. I was hoping to get an idea for your depreciation or is that a hopeful ask? For guidance for now?
Gary Brown: You know, depletion, we forecast mine by mine. You know, I think, you know, I wouldn't expect it to deviate significantly from, you know, what Q4's depletion was. But, you know, we're forecasting roughly, you know, $300 million in depletion over the year.
Tanya Jakusconek: Okay. That's very helpful. Thank you. And then I just wanted to turn, if I could, to just the deal space, and thank you for sharing with us on the deal side and the opportunities that you're seeing on the gold space. And I think, Randy, you mentioned a lot of them is in helping finance development stage projects. I just wanted to clarify if that's what I heard. Number one, and number two, that's what it is. Okay. Perfect. Number two, I do understand there are some royalties for sale as well and some in sort of bigger size. Wondered if that was something you were also looking at separate from the stream.
Haytham Hodaly: We look at everything, Tanya. Definitely. I mean, we have to understand what's going on out there, and we weigh every opportunity against the other opportunities we have in the pipeline. So our preference is streams, Tanya, but, you know, we feel that they're a much stronger business model than the royalties, but existing royalties that are auctioned off, we'll always have a look at and try and get a sense. You know, sometimes we scratch our heads at the values being paid for these royalties, but, you know, especially on different projects and such. But, you know, we'll look at them and see if there's space for them in our portfolio. You know, all in all, it's still about trying to find good quality precious metal production for our shareholders. And I'll just add to a comment Randy made earlier. For the last little while, a lot of the opportunities given the strong commodity price and precious metals that is have resulted in Wheaton looking at streams on these high-margin precious metals assets. We are starting to see some polymetallic assets with a good byproduct, precious metals byproduct that are coming our way. So, you know, we're probably fifty-fifty split on those going forward.
Tanya Jakusconek: Okay. That's helpful. Thank you. And then how do you think of the opportunities from a geographical standpoint? I only say that because a couple of your last ones were based in Africa. And I'm just thinking of how do you see your exposure? Do you feel that that's enough, Africa, or, you know, are you back to North and South America? Just wondering geography-wise.
Haytham Hodaly: So I can tell you this. I can tell you when we the last few transactions that we did yeah. You're right. There was a couple two or three that were in Africa. It wasn't because we had a focus on Africa. It was because that is where the highest quality opportunities lay at that given point in time. I'm looking at my list of opportunities for the next, let's say, twelve months. And there are none in Africa at this point. So we are looking globally, but I think generally speaking, we've exhausted probably some of the highest quality assets from a stream perspective and looking elsewhere at this point.
Randy Smallwood: You know, it's not so much the continent itself, Tanya. It's a country-by-country basis. I mean, some of the most stable in terms of longevity and security around mining. And so, you know, it's something that you have to really assess at. And I would add that the one other aspect that we really focus on isn't so much even country risk, it's community risk. We put a lot of effort into trying to understand what that risk is. And so we've been I mean, yeah. You're correct. Most you know, some of our recent transactions, obviously, in Africa, and it looks like a new area for us. Haytham and I and the rest of the team have been looking in for many years now. I would almost suggest that perhaps some of our peers have learned some lessons and are factoring in a bit more political risk in their own valuations now. It's a more competitive market. We always have factored in political risk as part of our evaluation process. And so, you know, I do think that that might be a bit of a reflection. It might not be so much a change in our approach, but a change in some of our peers' approach. From a political risk perspective. And I think that has opened up some opportunities for us.
Tanya Jakusconek: Uh-huh. And I appreciate that. It was just looking at it from a portfolio basis overall. And so, Haytham, I think you said most of what you're looking at is outside of Africa. Is it safe to assume most of it is North and South America?
Haytham Hodaly: Yes. Safe to assume that.
Tanya Jakusconek: Okay. Thank you so much for taking my questions. Really appreciate it. And, again, Gary, good luck on the next chapter.
Gary Brown: Thank you. Thanks again, Tanya.
Operator: Thank you. And your next question comes from the line of Brian MacArthur from Raymond James. Please go ahead.
Brian MacArthur: Good morning, and thank you for taking my question. And again, best wishes, Gary, on your next chapter, going forward. My question is maybe a little off-topic, but I'm interested we've had a couple of amendments to some of the PPMAs over the last six months, both Phoenix and Blackwater. Which is, I guess, as I look at them effectively, you're putting in more capital, but you're getting more ounces upfront into a pretty good precious metal market. But I'm curious whether the genesis of the transactions is more as the companies develop these projects, they need more capital. So you put it in and get a return. Or is it more that you both see a pretty good precious metal market and there's an opportunity for both of you to improve the projects upfront to what you really thought they were to begin with. And therefore get a better return for both of you or maybe those are just one-offs. And I guess if it's the situation where you can advance projects by putting more capital in to benefit both of you. Is that something I should think about you could be doing on some of your other PPMAs and it's an additional avenue of growth going forward. Thanks.
Haytham Hodaly: Yeah. I mean, over the last, I would say, two to four years, we've become incredibly creative on how we structure our transactions. And, obviously, given the lack of equity markets and the expensive debt that's out there, we've actually been looking for ways to continue to expand on our high-quality streams, Brian. That is something we'll continue to do. And, yeah, there are some, I would say, methodologies that we've incorporated that not only give us additional exposure to a stream but give us additional protection. On the streams, ensuring that we continue to get streams in the manner that we've actually valued them. So by doing a lot of these revisions that we've done over the last couple of years, we have protected ourselves and ensured that we have a solid profile continuing on regardless of whether there's delays by our Quebec partners or not. Randy, is there anything you want to add to it?
Randy Smallwood: No. I think you captured it well.
Brian MacArthur: Sorry. Because I just follow-up because I thought that was a great point you made, Haytham. But in all of this, I can assume the security of the additional stuff is as good as the original or better. Is that a fair assumption?
Haytham Hodaly: Absolutely. And I would say, given what we've seen in the industry, not within Wheaton but elsewhere, that is even more important than ever.
Brian MacArthur: Great. Thanks very much for the color on that. That's very helpful.
Haytham Hodaly: My pleasure, Brian.
Operator: Thank you. And your next question comes from the line of Daniel Major from UBS. Please go ahead.
Daniel Major: Hi. Can you hear me okay?
Haytham Hodaly: You better.
Daniel Major: Great. Thanks. Yeah. A few questions. The first one, thinking about the structure of the montage, transaction, it's quite front-loaded in terms of share of offtake from the asset. Is this something you know, an evolution of the type of deal you're looking for going forward? Kinda more front-loaded type repayment schedule, or is this just specific to the transaction?
Randy Smallwood: Yeah. Daniel, you know what? This was a unique opportunity to supply the bulk of the financing to get this project built. You know, one of the other major equity investors in Montage, Zijin, also stepped in and provided a bit of capital, but we supplied by far the bulk of the capital towards this. And so what this has allowed Montage to do is move this project forward without any project debt, so to speak. I mean, there's a couple of small cost overrun facilities that are both being supplied by Zijin and Wheaton, but that's only in the event of and so to be able to move this project forward, you know, based fully on stream funding is a unique aspect. We haven't seen a lot of that in the industry, and I think it's really an indication of some of the opportunity set that we see out there to continue to grow our own business but also being a supportive partner. The flexibility of a stream relative to bank debt is very attractive. And so you're right. When you look at this one, it's very front-end load. It's starting off at, you know, just around 20% of the gold production. But dropping down long-term to a number closer to 5% of the gold production. And that is a very similar, you know, from Montage's perspective. It looks like project debt. It's got a it's lumpy at the front end while the project gets up and running. Then it gets paid off in those early years, and then they have a bit of a residual tail around the stream that carries on. So we think it's a great unique approach. You know, we've definitely had some interest from other companies looking at this because the appeal of this versus dealing with project debt is and the flexibility, the inherent flexibility that comes with it. Just so much more attractive. And so I don't know. Anything you got anything to add to that?
Haytham Hodaly: No. I think that was a great synopsis there. I would say in any project, obviously, a company as they're building a mine, they want to get their payback as fast as possible. And as you can see from the way we structured it, we are also getting payback during that same upfront end. And so going into a high-quality asset that can give us that payback quickly, that's always positive. I would also say that this positions us well from a security ranking perspective. So everything we've done with that specific asset has been to protect us and to provide as much capital back as possible. So we're very excited about that opportunity.
Daniel Major: Okay. Thanks. And maybe just following that. I mean, when you look at the risk profile against valuation, do you feel like this is an approach of being a much larger proportion of the funding is a higher risk from your side?
Haytham Hodaly: It absolutely is higher risk. But that being said, I would also say that that's where the opportunity lies. We've got the capital to do it, and we're getting much higher returns to reflect that higher risk as well. So definitely, from a risk-return perspective, it makes sense. And Gary, would you want to add something to that?
Gary Brown: Yeah. You have to remember that, like, you know, we're pretty much the only creditor at the table with this type of structure. So, you know, that gives us control, you know, if a downside kind of scenario manifests, it gives us a lot more control of, you know, how we navigate that process. And we're a very patient capital provider. So, you know, we're going to be aligned with our partner to get them through that situation and get the operation up and running again. Whereas, you know, debt providers may not have that same intent. So, you know, we actually think that it's in some ways, it's less risky.
Daniel Major: Okay. Thank you. Then the next question, again, on the to follow-up on the question the answer you gave around the list of opportunities going forward and then not being in Africa. First Quantum has spoken about potential stream financing in Zambia. Should I take that comment as you're not in that process?
Haytham Hodaly: I would say that process hasn't officially started yet. I think they've been talking about it for a while, and there's obviously interest to look at all high-quality assets on our part.
Daniel Major: Okay. Thanks. And one more, if I could just on the profile through the year. You mentioned about produced not delivered volumes being high and then principally unwinding in the first quarter. Can you give us any guide on that? Should we just assume they normalize in Q1, or is it going to be over the first half or any sense?
Gary Brown: I would think that it's going to come back down to kind of the midpoint, you know, of our two to three-month estimate in Q1 and then kind of hover there for the rest of the year. But, you know, we can never predict that with pinpoint accuracy.
Daniel Major: So twenty thousand ounce, twenty-five thousand ounce delta on the quarter is a reasonable assumption.
Gary Brown: Yeah.
Daniel Major: Okay. Super. Thank you very much.
Operator: Thank you. And your next question comes from the line of William Dove Dolby from Berenberg. Please go ahead.
William Dove Dolby: Hi. Yeah. Good morning, Randy and team. Thanks a lot for the call. Yeah. Just one question really for me is around Salobo. Obviously, phenomenal quarter there. You know, really demonstrating what's achievable from that asset. But, you know, given yes, it's still a firmly cornerstone asset for Wheaton. But there's been sort of a bit of uncertainty around the sort of longer-term production profile there. Obviously, Vale last released a technical report in 2022. We've seen a few adjustments since in terms of throughput and grade expectations. So yeah, really, my question is, you know, could you possibly map out what your internal expectations are for the production profile at Salobo out to say, 2030 and then sort of a general long-term view there, that would be very helpful. Thank you.
Wesley Carson: Yeah. Thanks for the question, William. I mean, really, the way we're seeing it with Salobo is fairly static over the next while. We do see grades starting to trend down a little bit, but same as most open pit operations. As you go through different phases, when you get to the lower part of a phase, the grades go up, and then really they go back down as you get up to the upper part. So it's fairly static as you go across. I think one of the exciting things though is if you look at some of the announcements that Vale Base Metals has had over the past while, there is significant potential for further expansion at Salobo. And I think we will see a lot of that. I mean, and many of the announcements on additional capital being put into the Carajás region and that Salobo will see benefits of that going forward. So for right now, we've modeled it as reasonably flat, but I think you could potentially see some upside as those capital investments come in.
William Dove Dolby: Okay. Thanks, Wes. So, yeah, so we needed about 270,000 ounces in 2024. So if I'm reading you correctly, that sort of thing is fairly static around that level, say, to sort of 2027, 2028 before maybe starting coming off a bit.
Wesley Carson: Yep. Yep. That's reasonable.
William Dove Dolby: Okay. Fair. And then yeah. Sorry. Just following up on the conversation around expansion. And, obviously, the talk of potential fourth line there. Have you you know, do you continue to have those conversations? Has there been any progress there in the last sort of six months that you can talk to?
Haytham Hodaly: It's still in the study phase with Vale. I would say, I mean, we continue to be engaged with them as really our most significant partner on all those discussions. But as they go through those studies, we'll continue to have those discussions with them.
Emma Murray: The other thing, Will, that's notable is they've been talking about it more and more. This whole idea is for Salobo 3.5 and adding another six million tons per annum capacity is something they're referencing often. But like Wes said, in the study phase, it is not in our profile at all. So that would all be upside to us.
William Dove Dolby: Okay. Understood. Thanks very much, Emma. Thanks, Wes, and the team, and, yeah, all the best, Gary, for your next chapter. Thanks a lot.
Gary Brown: Thanks, William.
Operator: Thank you. And your next question comes from the line of Larry Liu from JBC. Please go ahead.
Larry Liu: Hi, Randy. Hey there. I'm Wes. And congrats on a successful career, Gary. I would like to circle back and talk a little bit about transactions. So Wheaton has had a really strong focus on gold streaming transactions in the past. As you know, silver is also a precious metal. And silver is definitely a Wheaton's DNA. So I guess long story short, with gold already reaching all-time highs, should we expect Wheaton to start taking advantage and be more active in the silver space?
Haytham Hodaly: Thanks for the question, Larry. I would love to find opportunities where we could add additional silver. Unfortunately, silver comes as a byproduct typically of polymetallic assets. So it's, you know, although the focus is precious metals, I wish we could say that we'd be we have a way of actually diving more into silver into high-quality assets. I can tell you that, you know, when we look at these things, we look and transact in the current environment. It does not necessarily mean just because commodity prices have risen that we're paying spot prices on our precious metal streams, whether it be gold or silver. So we will always transact such that we're getting a solid return in the context of the environment that we're in.
Larry Liu: Absolutely. That's fair. Thanks, Haytham. Next question kind of focuses a little bit on the Blackwater the recent amendment to the stream agreement. I'm just wondering how much of the expansion for Blackwater is then factored into a long-term guidance now that the silver streaming is based on the throughput.
Haytham Hodaly: Well, the reason we've done that whole transaction is to simplify the overall process. And at the same time, it accelerates the production of silver that we get in our portfolio. So you get a lot more silver upfront. You get a lot more capital upfront in a strong commodity price environment. But, you know, if you look at where we're actually headed with that asset, we're pretty optimistic that they're going to outperform what they're originally saying as well. So I'll leave it at that.
Wesley Carson: Yeah. Maybe just add that they are continuing to look at the expansions there and what that looks like. I mean, they're looking to move into those reasonably quickly. I think overall, what we've got modeled in our long-term is the same thing that you would have seen publicly right now, but there is discussion on hoping to move those things forward sooner rather than later. It's definitely to the benefit of that asset to get those expansions in sooner.
Larry Liu: Perfect. Sounds good. Thanks so much, Haytham and Wes. I have just one last question and focusing on the Voisey's Bay impairment that was mentioned in the press release. So I was just wondering how much of the impairment was a result of the weakening cobalt price versus a change in your production estimates or a change in the discount rate that's being applied to the valuation process.
Gary Brown: It's virtually all cobalt price.
Larry Liu: Awesome. Sounds good. Right. Thanks for that. Production profile point, I mean, they've announced that they're fully into the undergrounds now, and we're actually seeing that production side very positively at the moment.
Larry Liu: Yeah. Perfect. That's what I thought too. So I was thinking it would slightly offset. But so much, team, for taking my questions, and, of course, best wishes, Gary.
Gary Brown: Thanks again, Larry.
Operator: Thank you. And your next question comes from the line of Martin Pradier from Veritas. Please go ahead.
Martin Pradier: Thank you very much for taking my question. I want a little bit more details on what you expect for 2025 and 2026 for Goose, Mineral Park, Blackwater, and Platreef in terms of production.
Emma Murray: So in 2025, the four together, we would suggest twenty to twenty-five thousand GEOs. That's accounting for, you know, a half-year start-up and, of course, a ramp-up after that. The following year, we wouldn't it won't be quite into full production in 2026, but by mid-2026, we should be hitting our stride. I mean, a full year of production at Blackwater is about thirty thousand GEOs to our cast. So we'll have about that in our 2026 profile.
Martin Pradier: Okay. And how big is Mineral Park in 2026?
Haytham Hodaly: About ten to twelve thousand GEOs would be a reasonable assumption.
Martin Pradier: Great. Thank you.
Operator: Thank you. And your next question comes from the line of Flora Ashbourne from Edison. Please go ahead.
Flora Ashbourne: Thank you. And if I could proffer my congratulations as well on an excellent year and an excellent quarter. My best wishes to Gary, of course. I know that counterfactuals can be difficult, but I was interested in your answer to the cobalt question. I just wonder. I'm sure you've seen the cobalt price in the last few days, which is suddenly fifty percent higher than it was a few days before that. And I wonder if the cobalt price on the thirty-first of December had been what it is today, would you have impaired the asset?
Gary Brown: Yeah. It's always difficult to pick the price that you're going to be using, especially in these volatile times. You know, I think we've been following the cobalt price, and it's been depressed pretty consistently over the last twelve to sixteen months. And, you know, I think the recent rally that we've seen is being driven by the DRC kind of stemming production. So, you know, we're just not sure that we can rely upon that to continue. That wasn't really your question. If the prices were to remain at these levels, would we have impaired it? Probably not. But, you know, I think it's unlikely that we'll be talking about impairments or impairment reversals on Voisey's moving forward. And we just wanted to take that noise out of the equation.
Flora Ashbourne: No. Understood. No. I understand. Thank you. But I appreciate it nonetheless. Thank you, Gary. Thank you, team, very much, and, again, Gary, we will miss you very much in London.
Gary Brown: Surely. It's been a pleasure.
Randy Smallwood: Thank you, everyone, for your time today. In closing, we're pleased to have reported a record-setting quarter to close 2024. Wheaton's high-quality, long-life portfolio of assets, sector-leading growth profile, and commitment to sustainability provide our shareholders with a solid outlook for the future. As one of the best vehicles for investing in the gold and precious metals space, I'm sincerely thankful to all of our stakeholders for being part of Wheaton's success, and I look forward to another strong year ahead. I have never been more excited about the future of the company as I am today. Thank you.
Operator: Thank you. And this concludes today's call. Thank you for participating. You may all disconnect.